John Hamilton: Good morning, everyone. This is John Hamilton, Chief Executive Officer of the Panoro Energy ASA, and welcome today to our 2020 trading statement. I'm joined today by our CFO, Qazi Qadeer; our Technical Director, Richard Morton; and Project Director, Nigel McKim. I will take you through a few slides, many of which you may have seen before because we have been producing a lot of information recently. And we'll also open up to Q&A as well, and we'll touch on a few headline financials. As a reminder, today's conference call contains certain statements that are may be deemed to be forward-looking statements, which include all statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and perception of historical trends, current conditions, expected future developments and other factors that we believe are appropriate under the circumstances. Although we believe the expectations reflected in these forward-looking statements are reasonable, actual events or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks, uncertainties and other factors. For reference, our trading statement was published, released this morning and is available on our website, www.panoroenergy.com. We also make reference to the announcement dated 9th and 10th of February regarding the acquisitions in Equatorial Guinea and Gabon and the completed private placement of new shares. Due to the transformational nature of the acquisitions and the process of having a prospectus approved by the Norwegian FSA, the Board of Directors has decided not to publish a formal Q4 2020 financial report. However, we are today issuing a trading and financial update, which includes some of the main line items for Q4 and 2020. And of course, we will publish as usual, in our annual report on the 30th of April 2021. So in terms of how this system works, [Operator Instructions]. And we will remind you of this at the end of the slides. Next slide, please. Disclaimer. Next slide, thank you. So this is a sort of a Panoro pro forma at a glance. We've announced some transactions, which I'll touch on again. These transactions are still subject to completion. But once they're done, we are going to be a company with a rather significant market capitalization, north of $200 million, 38 million barrels of reserves, net production in excess of 9,000 barrels a day with activities across Africa, in Tunisia, in Equatorial Guinea, in Gabon, in South Africa. Nigeria, we are in the process of disposing, selling back that to PetroNor. So that one is shaded a little bit differently. But as you can see, we're going to start being a much more substantial company than we were before and putting ourselves in a different league.  Next slide, please. So just a quick reminder on the transactions. Most of you on the phone, I think, will have followed these. But last summer, during the lockdown and the height of the COVID situation, we're negotiating with Tullow Oil plc, which is a large U.K.-listed company focused largely on Africa, and were in the process of needing to make some disposals. They had sold one asset to Total in Uganda. And we were able to negotiate the sale of 2 assets, 1 being in Equatorial Guinea, the Ceiba field and the Okume complex in Equatorial Guinea and an additional 10% stake in Dussafu Marin, which we're already in, in Gabon. And these transactions were negotiated at a time that oil was in the mid-40s. And those transactions made a lot of sense for Panoro at that time. Clearly, we're in a different oil price environment today than we were in the summer when we negotiated these deals.  The deals look great then. They look even better now. We have done this with the great assistance of our supportive large shareholders, who have helped us raise $70 million in a private placement, which was announced a couple of weeks ago, subject to the General Meeting, which is coming up in about a week's time; and a debt facility up to $90 million provided by Trafigura. So a very, very large financing to support these acquisitions, and we hope to complete those in the next 2 months.  Next slide, please. Again, this slide, for those of you who follow us, is a repeat of the ones we've used recently. But it just, again, goes to highlight a few important messages. The first is that the acquisitions transformed Panoro. We will be having 3 to 4x as much production, 3x as many 2P reserves, our 2C resources go up by 8x, our operating cash flow, based on $55 oil, is going up 8x -- sorry, 5.8x. And we -- as a result of these transactions, even at $45 oil, we were planning to be fully financed for all the foreseeable CapEx that we can see for the next few years. Everything that's on the radar screen, fully financed, and a ramp-up towards 12,000 barrels a day of production. So the company will be in a very, very -- it's not just transformational, but it will put us into a very robust financial position.  Next slide, please. And again, this is exactly the same slide. We've not updated it for the recent oil prices. On the left, you see the production growth that we hope to achieve. This is coming through development drilling in Equatorial Guinea, which is happening this year, and it's coming through additional production drilling in Gabon Dussafu. So you should see us, over the next couple of years, going from north of 9,000 barrels a day this year to, perhaps, close to 10,000 next year and over 12,000 in 2023. Beyond that, you can see a 2P profile, as it's declining. But obviously, in the real world, we'll be doing more things as long as we can find the right projects and bring some of our 2C resources into 2P and continuing that good trend, hopefully. And on the graph in the middle, the blue, you can see our free cash flow in the blue charts, which is based on $55 a barrel this year and $50 in the subsequent years. Obviously, if oil prices stay where they are now, this will look even better. But even at $50 oil, you can see that our free cash, which is the lighter blue line -- not our free cash, our year-end cash position is growing every year. During 2023, we should be in a net cash position. So extremely strong cash position for the next few years, which puts us in a position where we'll be able to pay a dividend. We've signaled that we would be prepared to start thinking about paying a dividend in 2023, and that's to coincide with the completion of the Hibiscus/Ruche Phase I project, which is a CapEx-intensive project that we are embarking on this year and next.  Next slide, please. So we -- as I said, we've decided to put out the highlights, key financial statements without doing a full Q4 report in line with what I stated earlier. I won't go through all these issues. I think most of them have been well flagged, if not all of them. I don't think there are any surprises in here.  Obviously, 2020, looking back here, that was a difficult year with COVID and the precipitous drop in oil prices that impacted our financials, that impacted everybody's financials. But we did okay during the year, I think. Operationally, certainly, we're able to grow production in Tunisia. We were able, through our hedging program, to withstand some of the worst aspects of last year's oil price drama. And we also managed our health and safety systems very, very well despite everything that was thrown at the industry during the course of the year. So I think it's a year to, hopefully, look at it in the rearview mirror, but one nonetheless to be a little bit proud of. Next slide, please.  So we provided some guidance. Again, this is all pretty much already well flagged through our materials that we've announced in light of the transactions, where we have reduction guidance in excess of about 9000 barrels a day this year, which a lot of it is coming from the acquired assets in Dussafu and EG. We have a 2021 capital expenditure guidance as well, which is a little over $40 million, which includes drilling in South Africa. It includes about $10 million being spent in Equatorial Guinea, which is going towards boosting production there this year. And about $22 million going into Dussafu, which is the completion of the Tortue program, the drilling of an exploration well, which I'll come back to, and the start of the Hibiscus/Ruche project. So again, Dussafu will be capital-intensive this year and next year as we seek to ramp up production to 40,000 barrels a day there.  And on the lifting side, we're going to be busy in Tunisia. We have both domestic and international liftings. We should have a bunch of those. In Gabon, we're at the moment envisioning 5 liftings during the course of the year. In Equatorial Guinea, Tullow have always lifted their own barrels there, which simply means they don't lift with the rest of the partners. So the number of liftings is a lot smaller, but the size of the liftings is quite a bit bigger. So for instance, Tullow -- or Panoro, once we complete, we'll be lifting 950,000 barrels cargoes or 650,000 barrel cargoes on our own. So these are quite big dramatic revenue moments for the company. Whereas in Gabon, for instance, we lift together with BW and Tullow. So they're spread out a little bit more in the year. So we have a smaller slice of more liftings. In EG, we're going to have a huge slice of smaller amount of lifting.  So one to look out for in terms of what that does in terms of our quarterly P&Ls, which we'll have some rather dramatic variations as a result. But what matters, of course, is during the course of the year, the total number of liftings is -- we're spreading out our oil price risk quite nicely.  Next slide, please. So just some outlook and summary. Again, just a reminder of why we like the acquisitions that we've done. And that provides us transformational growth. It increases our business by 3 or 4 times. And we're on a route to producing in excess of 12,000 barrels a day. The metrics on the transactions, again, they were negotiated in a very different oil price environment. But even in those times, these were very accretive, pay back extremely quickly. And they resulted in a very, very limited increase in our overall cost base as a company in terms of our overheads. We'll probably need to add a few more staff, but it's not like we've taken on a team of 100 people and bricks-and-mortar and all kinds of other things. These are non-operating positions and so all we have to do is make sure our organization is rightsized to deal with the bigger company. But it's a very, very limited increase. The assets, we believe, are very high quality. They're low-OpEx. They're long-life, very complementary towards each other in terms of the way, where they are in their maturity. There's upside in these projects. We'll talk a little bit about Hibiscus, but we have production growth and we have exploration opportunities in both. And we have operators who are extremely focused on driving down costs, finding new oil, extending up the life of these fields. Both our operators in Gabon and in Equatorial Guinea are effectively private equity-backed operators. If you can look at it that way, these management teams are highly incentivized to do as well as they can. So Panoro is very blessed to be working with such good operators that are so financially incentivized to really do the best for these assets. And of course, on the cash side, we're going to be fully funded for everything that we can see in front of us and putting ourselves in a position to pay a dividend from 2023. So in summary, a growth-oriented company, Panoro, with the capacity to pay dividends. It's really how we're defining ourselves, and it's really what we've always wanted to be, finding that balance between growth and dividend capacity. And we put ourselves in an excellent position to deliver both those things. Next slide, please. Just a reminder of Hibiscus because we talked about Hibiscus a lot. BW Energy has talked about Hibiscus a lot. What's interesting, and just to remind people, is that we're going to be drilling a well in the second quarter, probably in April, drilling something called the Hibiscus Extension well. And this is a well that has been talked about a lot, but has only recently in the past few weeks, been confirmed that this will be drilled in April, which is just around the corner, frankly. And we, as a reminder, we made a discovery in Hibiscus about 1.5 years ago, which established about 44 million barrels of reserves, which was a huge event in itself because we were expecting a lot lower. It was exploration, first of all, it could have been 0. But if it was going to come in, and we thought it was going to be around 10 million, 11 million barrels, we ended up having a very, very pleasant result and booked about 44 million barrels of reserves. The operator has come out and said that they believe the entire larger structure could be as big as 155 million barrels. Now that's going to require some exploration drilling to be done. In the meantime, what we've done is we've reprocessed the seismic that Panoro acquired back in 2013, '14. And you can see the maps on the left and on the right. The left is the old map before the reprocessing. Hibiscus is the nice orange-shaped thing kind of in the middle of the map, if I can put it that way, with the 2 black dots in the black line. Those are the 2 wells that we drilled there. So the original wellbore plus the sidetrack that established the 44 million barrels. You can see the map on the right, which is a result of the reprocessing work that has been done by the operator, but also by Panoro. So these are our maps. And what you can see is that the reprocessing suggested that Hibiscus could be quite a bit bigger, so there's bigger, larger area in the red and in the yellow in the higher relief. And what we plan to do with these Hibiscus Extension well is to drill into the northern part of this enlarged structure, again, in April. Results probably sometime in May. And if that establishes contact with oil coming, or water contact, we could see the chance of tripling the size of Hibiscus. So if that is successful, we'll probably end up drilling a sidetrack or perhaps even another one to delineate that as much as we can in this period. We also have an optional well slots with the Borr Norve rig to drill an additional well into Hibiscus perhaps in the third quarter. We haven't decided. And it's joint venture. But it's quite exciting to have this kind of event happening so soon, and all eyes will be on this. Obviously, if we can triple the reserves in Hibiscus, I think it's another game changer. It was already a game changer. I think it's going to, have the possibility of doing that again.  Next slide, please. Right. And just a reminder, we're a public company. We thrive on news flow, and we believe we have a lot of it this year. In Gabon, we're going to be drilling the production well, the DTM-7 well, which was postponed due to COVID last year. We're going to be drilling that in the, somewhere in the summer and bringing that the DTM-6 well online probably during the middle part or back end of Q3, perhaps, which should boost production up to about 20,000 barrels a day in Tortue. And we're going to be drilling the Hibiscus well, which I just talked about, in the second quarter and we have an optional well slot in the third quarter to bring in that, keep that rig and drill another well probably into the greater Hibiscus area.  In Equatorial Guinea, the operator has approved, together with the joint venture partners, the three infill wells, which we'll be starting to drill in the second quarter. The idea here is to boost production from where it was last year, about 32,000 barrels a day gross to something like 37,000 barrels a day gross. And so we'll have some activity there as well.  In Tunisia, we have constantly some well workover activities. So we have some activities planned in the back end of the first quarter going into the second quarter and then to-be-defined further activity. There will always be activity in Tunisia to try to maintain and hopefully boost production as well. The exploration well, Salloum, is pending approvals. It's not entirely clear yet when we will drill that. But we have indicated it here at least as a possibility this year. PetroNor, for those of you who follow us, we have sold our Nigerian business, Aje, to PetroNor, a Norwegian-listed entity with also African focus. $10 million worth of their shares.  We intend, upon regulatory approval of that transaction in Nigeria, to distribute those shares to our shareholders. So a dividend of PetroNor paper to our shareholders, $10 million, hopefully, during the second quarter. And in South Africa, we've been waiting for the closing conditions to be met on that transaction, but we're currently indicating a sort of third quarter well if the closing conditions can be satisfied.  There is a bit of a lead time once we complete to being able to drill the well. So we're indicating in the third quarter at the moment. And there's probably other activity as well that we haven't fully approved or debated or defined yet, but there's going to be other things as well. So I think we're going to have a very, very busy year. So with that, I'd like to turn it over to questions. [Operator Instructions] Qazi is going to officiate the questions. And I will attempt to answer the questions, and I might drag in my colleagues as well, depending on the nature of the question. So Qazi, do you want to go ahead and get some questions rolling?
A - Qazi Qadeer: Yes, John. Good morning, everyone. We have the first question from Stephane Foucaud from Auctus.
Stephane Foucaud: Two detailed and technical question from me. The first one is the CapEx program for 2021, I think, does not include Salloum. And I think technically, you said it's because it's already part of a cash provision. I assume that the restricted cash that will be covered with, if you could confirm that would be great. And second question, with the lifting in EG in Q1, given its importance, I guess -- and it's again for moving proposes than anything else, I guess that might have a quite material impact on the cash price you will be paying on closing of the acquisition. Could you confirm that? And the first part of the question, did you find correct?
John Hamilton: Thank you, Stephane. Yes. Yes. So your first question on Salloum, yes, if you look at the sort of the notes under the CapEx program, all we've done is say that the drilling cost at Salloum has kind of been set aside contractually. So we didn't add it to the CapEx line there because it's already effectively been taken care of through the cash being set aside. Your question on EG, yes, there is a planned lifting in Equatorial Guinea in March, and it's a big lifting. We have an effective date with Tullow of our transaction of the 1st of July 2020. So what happens when we complete the deal -- if we say we complete the deal, let's say, in April, some time. What will happen is we have to pay the consideration that we've agreed with Tullow. But there's all kinds of moving completion adjustments that happen. Tullow will have paid money out for operating costs in the meantime. There may be other smaller adjustments. And when it comes to the revenue line, obviously, that revenue is ours. So it will either -- depending on exactly when completion happens, it will either form an adjustment to the completion price or it will show up potentially as a receivable, again depending on the timing on our balance sheet. It may not come into our official P&L. I think Qazi will attempt at that time to show something on a pro forma basis. But it is a big number, and we're very happy in a lot of ways. Oil is trading well above $60 a barrel now, which we didn't imagine at the time that we would -- I think we had $45 in our model. So it's actually quite a nice event that's happening. But it is quite a big event that we'll have to make sure at completion that we explain to the market well exactly how that filters through. At the end of the day, cash is cash. It is our economic right. Like I said, at the end of the day, cash is cash. It just may be interesting how exactly we account for it.
Stephane Foucaud: Okay. And back on Salloum, so the provision -- you say it's already provisioned. Where could I find that provision the balance sheet? That would be restrictive cash and that would be taken out at that time?
John Hamilton: Yes. So on our balance sheet, we have cash and then we have the cash held for bank guarantee it says?
Stephane Foucaud: Yes. So that's under that. The $10 million, what is under that?
John Hamilton: Yes. Yes. It's that. Qazi, who's next? 
Qazi Qadeer: Yes. John, the next question we have from Teodor. 
Teodor Sveen-Nilsen: Can you hear me? 
Qazi Qadeer: Yes, we can. Thank you. 
Teodor Sveen-Nilsen: Yes. Perfect. Two small questions, if I may. First one, that's maybe not actually that small base on future M&A. John, you highlighted that production profile is shown in your slides, that's, of course, based on current plans and then that things may change, and I guess you will still look at for accretive M&A deals. So can you just share your thoughts around what you will look for? Second question, just sort on the cash flow in fourth quarter. It looks like you had sort of release working capital. Could you please confirm that? 
John Hamilton: I'll let Qazi answer the second one. On the first one, a couple of thoughts, Teodor. I think you're right. When you look at -- again, we when we set out to finance this transaction, we had $45 in mind for forever basically, which is a sensible thing to do, obviously. What you can see is, obviously, if oil prices hold up, we'll be generating even more free cash than we thought, which puts us in a very nice position. We had a Board meeting yesterday. We talked about this issue. And I think we're 100% focused on completing these deals. I mean I don't foresee any issue completing them, but there's quite a task, a lot of paper pushing and that kind of thing over the next month or 2. So we're entirely focused on that. Despite the fact we're getting calls from every oil company and every investment bank in the world now, who think that we're ready to do more deals. I think the reality is, I think, we're going to keep our head down.  We're going to complete these transactions. We're going to make sure we integrate the businesses properly. We set ourselves up to manage these and deliver what we've set out to do. So that's the most important thing. But I think looking beyond the next few months and maybe even a couple of days of holiday somewhere in there, I think, of course, we're going to be open to looking at opportunities. We have -- with Trafigura, they've given us an additional $50 million, 5-0, on our loan facility, which is what they call an accordion, which simply is sort of an extra bit of facility we can use if we find more production assets. I think that in terms of targeting additional things, I think we would be looking to bring perhaps some additional production assets into the business and perhaps adding a little bit more on the exploration front as well. We find that we're quite good at it. And we think it's important to plan for the future by having a few more exploration plays in the business. Those could be in Gabon or that could be in EG, that could be in Tunisia, that could be in other countries. But we -- you may see us maybe trying to do a little bit more on that front. But never betting the farm kind of thing. We're not certainly looking to go and spend all our cash on the next acquisition in May. Far from it. I think we're going to be very careful and only look for transactions that really makes sense for the company and stakeholders. But look, we're open for business, for sure. Qazi, do you want to answer the question on the working capital? 
Qazi Qadeer: Yes, Teodor. Could you just repeat the question for the benefit of all our listeners? 
Teodor Sveen-Nilsen: Yes, sure. I just noticed that since you don't disclose a full cash flow statement for fourth quarter, it just looks like operational cash flow was pretty strong. So I just wonder if there was a release of net working capital boosting operational cash flow. 
Qazi Qadeer: Yes. So obviously, we haven't given that detail. So I can't be very specific. But I think if you look at our disclosure of the operating cash flow and our statistics on the liftings, we had more liftings in the fourth quarter compared to the third, which basically helped. And obviously, it's a combination of receivables and accumulating some payables on as well. So the receivables have been released, yes, to some extent. We are, compared to 31st December 2019, carrying a lower amount of credit receivables in the 2020 balance sheet. The next question is from Oddvar Bjorgan. You may proceed now please.
Oddvar Bjorgan: Yes, good morning. Just a question around your production profile showed on Page 7. You're showing production guidance for the next 5 years. And I guess, some might be a little bit surprised that the guided production is falling in '24 and '25. Part of the reason is, of course, that you are just modeling in existing official 2P reserves. But is it possible for you to give some rough guidance of what you think is the most likely production outlook for '24, '25, maybe '26? And if it's higher, what has to change with your initial assumptions that you have used in order to make the production profile graph on Page 7? 
John Hamilton: Well, it's a great question, indeed. So your -- what you said is correct, which is what we're modeling there is sort of a 2P profile of sanctioned activity. And it principally is assuming, for instance, that Tunisia is just flat, which obviously, we hope to be able to do more there during that period. But we've taken a conservative approach there. In Gabon, it assumes, obviously, we bring Hibiscus Phase 1 and Phase 2 online at the current FPSO maximum rate, which is around 45,000 barrels a day. Clearly, if we are getting encouragement from the production and there's a case to be made -- and we're finding more reserves in that area, there's a case to be made to try and look at boosting the production capacity at the FPSO. That's possible. The production capacity can be taken to in excess of 60,000 barrels a day. That would require some capital expenditure, et cetera. But -- so it is possible that we're able to boost production beyond that in Dussafu, which has not been accounted for in those graphs.  And then the third thing really is in Equatorial Guinea, where the operator has spent the past 2 or 3 years after having bought the asset from HESS in terms, has been focused on infrastructure, getting the oilfield infrastructure in place and is now, for the first, setting out to do some production drilling where we have 3 wells this year. So we've accounted for those 3 wells, but no more. What we, we're not in the JV yet, but what we would like to believe, if oil prices stay something reasonable, let's say, $45, $50 a barrel, that the operator will seek to start trying to drill quite a bit more there. But this field at its peak produce 100,000 barrels a day. So even if we can get it to 50,000 barrels a day, say, I think it would be a great result and we could see further increase there. But we've not put that into our assumptions because it's not been approved by the joint venture yet. So I would say, as an overall comment, it's sort of a conservative what we can see in front of us type of forecast. Clearly, there is upside to that. But we think we think it's enough at the moment, as you can see, even that profile does wonderful things for the company. But look, there is upside from there. It's probably just not worth, it's not sensible to articulate that yet perhaps.
Oddvar Bjorgan: Yes. Probably makes sense. Easier to surprise on upside then?
John Hamilton: Yes, I think so. Qazi, are we done?
Qazi Qadeer: Yes, we have one other question from the chat window from Tom Erik from Pareto. I will read out the question, John. With the Tullow acquisition done in a $25 a barrel environment, he thinks many will speculate that Panoro did not attach a lot of value to the 2C resources at Ceiba and Okume. And the second question is that, however, when this resource being 1.7 times current 2P reserves, the upside looks substantial. It's early days, but how do economics go, predominance of the, these resources, if you go after them, look like at $60 per barrel environment?
John Hamilton: Right. So I might get Nigel to help here. But, so the first question is, did we attach a lot of value to the 2C resources in Ceiba and Okume. The simple answer is we saw that as our upside a little bit, if I can put it that way. Nigel, do you want to just add a little bit to that?
Nigel McKim: Absolutely, John. Yes. I mean, clearly, we're not part of the joint venture as yet and are very much looking forward to engaging with the team and working through these opportunities when the time comes. But as John has touched on, the operator has been focusing over the last couple of years on stabilizing production, upgrading the infrastructure at both Okume and Ceiba, and are just now getting into looking at the forward development opportunities. So the 3-well campaign that's coming up this year is the first part of that. But clearly, there's a lot in addition to chase, and it's very clear that the joint venture team has been looking at all of the fields. They've got detailed subsurface models. New seismic data has come in this past year and is now being processed. And in this set of fields, what is called 4D seismic is being applied. So shooting seismic over time gives you an indication of where the fluids exist in the subsurface. So you can track waterflood through the oil reservoirs and identify targets of undrilled, undrained and produced oil. So we're confident that the team is on top of that now. They're looking at opportunities and we would certainly expect to see further drilling campaigns in the years ahead. Precisely what they will be clearly depends on that subsurface work and then a ranking of priorities and a justification on a value basis as we go forward. And as I say, we're looking forward to engaging with the team on that, but we haven't worked the details precisely with the team at this point. 
John Hamilton: And just to finish up, I mean, the, obviously, the economics of those, the 2C resources have the potential to double reserves in the field from those that we modeled in terms of our valuation. Obviously, oil is $60 a barrel rather than $45, those reserves are much more valuable. So we always, in EG, we always saw that as our sort of upside case is the, we've got two ways of making more money than just a cost of capital.  In EG, one is if you get the 2C resources into 2P, into production, and if oil prices go up from $45. And we're hoping that both of those things happen, in which case it'll be an extremely good acquisition for us. Dussafu is obviously a slightly different story. Dussafu is just in the beginning of its life and has all that exploration in front of it. So there, we think it's been a fantastic acquisition as well and looks even better at $60 than it did at $45. So Qazi, is that it? 
Qazi Qadeer: Thank you John, Nigel. I have no other questions. [Operator Instructions] But at present, John, there are no further questions. 
John Hamilton: Okay. Well, I'd like to thank everybody for joining. And if you have additional questions, you can come in through our website, through our e-mail address on the website. And we look forward to making a number of announcements over the next few weeks. We have the General Meeting coming up soon. We have the completions to look forward to. We have Hibiscus to look forward to. So I'm sure we're going to be actively in contact with the market in the next few months. Thank you very much.